Operator: Ladies and gentlemen, thank you for your patience. Welcome to the SBA Fourth Quarter Results Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, today's call is being recorded. I would now like to turn the conference over to Vice President of Finance, Mark DeRussy. Please go ahead, sir.
Mark C. DeRussy, CFA - Vice President, Finance: Good afternoon and thank you for joining us for SBA's fourth quarter 2015's earnings conference call. Here with me today are Jeff Stoops, our Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including, but not limited to, any guidance for 2016 and beyond. These forward-looking statements may be affected by the risks and uncertainties in our business. Everything we say here today is qualified in its entirety by cautionary statements and risk factors set forth in today's press release and our SEC filings, which documents are publicly available. These factors and others have affected historical results, may affect future results and may cause future results to differ materially from those expressed in any forward-looking statement we may make. Our statements are as of today, February 25, and we have no obligation to update any forward-looking statement we may make. Our comments will include non-GAAP financial measures, as defined in Regulation G and other key operating metrics. The reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures and the other information required by Regulation G can be found in our newly-created Supplemental Financial Data package. In addition to the Regulation G information, this package also contains other current and historical financial data. This document will be updated quarterly and is located on our IR landing page at ir.sbasite.com. With that, I'll turn the call over to Brendan.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: Thank you, Mark. Good evening. As you saw from our press release, we had another very solid quarter. We were above the midpoint of our guidance for site leasing revenue, tower cash flow, adjusted EBITDA and AFFO. Our consolidated gross organic site leasing revenue growth in the quarter was 8% on a constant currency basis. Excluding iDen churn, our AFFO per share growth was 14.4% versus the year-ago period on a constant currency basis. These results are consistent with our longer-term view of our ability to generate high single-digit organic leasing revenue growth and mid-teens AFFO per share growth on a constant currency basis. Total GAAP site leasing revenues for the fourth quarter were $368.5 million or a 1.9% increase over the fourth quarter of 2014. Eliminating the impact of changes in foreign currency exchange rates, total GAAP site leasing revenue increased 7.5% over the year-earlier period. In addition, as forecasted, we experienced termination of a large number of iDen leases during the quarter. These terminations had a negative sequential impact on quarterly cash leasing revenue of $6.5 million versus the third quarter of 2015. Total 2015 iDen terminations had a negative year-over-year impact on the fourth quarter of $9.1 million. Eliminating the impacts of iDen churn and changes in foreign currency exchange rates, total GAAP site leasing revenue increased 10% over the year-earlier period. We do not expect any incremental iDen churn going forward until the fourth quarter of 2018, although the 2015 iDen churn will continue to negatively impact comparative results this year. Since the negative impact to comparable results will end this year, we thought it would be useful to present pro forma results, excluding iDen churn, which we have in the press release as well as discussing them on today's call. We'll continue with that disclosure throughout this year. Domestic cash site leasing revenue was $305.1 million in the fourth quarter, an increase of 3.3% compared to the year-earlier period. On a gross basis, organic domestic cash site leasing revenue growth was 7.5%. On a net basis, including the negative impacts of approximately 3.5% from iDen decommissioning and 1.5% from normal churn, organic growth was 2.5%. Domestic tower cash flow for the fourth quarter was $249.1 million, an increase of 3% over the year-earlier period. Domestic tower cash flow margin was 81.6% compared to 81.8% in the year-earlier period, negatively impacted by iDen churn. Approximately 62% of domestic lease up revenue came from amendments and the big four carriers represented 86% total new domestic leasing activity. The ratio of the actual number of executed amendments to executed new lease agreements was greater than eight to one. International cash site leasing revenue was $53.3 million in the fourth quarter of 2015, an increase of 2.9% compared to the year-earlier period. Eliminating the impact of changes in foreign currency exchange rates, international cash site leasing revenue increased 37.5%. On a constant currency basis, net organic growth for international cash leasing revenue was 11%. And in Brazil, it was over 12%. During the fourth quarter, Brazil represented 6.6% of cash site leasing revenue, excluding pass-through revenues, and 9.5% of all cash site leasing revenues during the quarter. Cash site leasing revenue denominated in currencies other than U.S. dollars was 10.3% of total cash site leasing revenue. International tower cash flow for the fourth quarter was $36.5 million, an increase of 0.7% over the prior year or an increase of 32.1% eliminating the impact of changes in foreign currency exchange rate. International tower cash flow margin was 68.4% compared to 69.9% in the year-earlier period. The decline in margins reflects the acquisition from Oi in Brazil of 1,641 sites in the fourth quarter of last year. Adjusted EBITDA in the fourth quarter was $274.3 million, an increase of 2.9%. Eliminating the impact of changes in foreign exchange rates, adjusted EBITDA growth was 6.9%. Eliminating both the impact of FX changes and the impact of iDen churn, adjusted EBITDA growth was 10.3%. Adjusted EBITDA margin was 69.1% in the fourth quarter compared to 68.3% in the year earlier period. Approximately 96% of our total adjusted EBITDA was attributable to our tower leasing business in the fourth quarter. AFFO decreased 0.2% to $181.1 million in the fourth quarter compared to $181.5 million in the year earlier period. Eliminating the impact of both iDen churn and changes in foreign currency exchange rates, AFFO increased 11.2%. AFFO per share increased 2.9% to $1.43. Excluding the impact of both iDen churn and changes in foreign currency exchange rates, AFFO per share increased 14.4% over the year earlier period. We continue to selectively deploy capital towards portfolio growth. In the fourth quarter, we acquired 292 communication sites for $183.4 million in cash. We also built 100 sites during the fourth quarter. These additional sites are located in both domestic and international markets. We continue to invest in the land under our sites, as this is both strategically beneficial and almost always immediately accretive. During the quarter, we spent an aggregate of $26.4 million to buy land and easements and to extend ground lease term. At the end of the quarter, we owned or controlled for more than 20 years the land underneath approximately 73% of our towers and the average remaining life under our ground leases, including renewal options under our control, is approximately 33 years. Our press release contains our updated 2016 outlook. Our outlook for 2016 is the same as provided in our third quarter earnings release, adjusted to reflect the negative impact of recent and anticipated changes in the Brazilian and Canadian FX rate. Compared to the full year 2016 outlook that we provided in our third quarter press release: site leasing revenue has been negatively impacted by $16 million; tower cash flow by $10 million; adjusted EBITDA by $9 million; and AFFO by $10 million, due to changes in expected foreign exchange rates. As compared to our actual 2015 results, our projected full year 2016 site leasing revenue is being negatively impacted by $44 million as a result of our forecasted changes and foreign currency exchange rates. At this point, I will turn things over to Mark, who will provide an update on our liquidity position and balance sheet.
Mark C. DeRussy, CFA - Vice President, Finance: Thanks, Brendan. SBA ended the quarter with $8.6 billion of total debt. We had cash and cash equivalents, short-term restricted cash and short-term investments of $144 million. Our net debt to annualized adjusted EBITDA leverage ratio was 7.7 times. Our fourth quarter net cash interest coverage ratio of adjusted EBITDA to net cash interest expense was 3.3 times. In October, we issued $500 million of new secured tower revenue securities through our existing SBA Tower Trust. The offering had a cash coupon of 3.156% and an anticipated maturity of five years. Net proceeds from the offering were used to repay the $280 million outstanding balance under our revolver and for general corporate purposes. Also during the quarter, we used cash on hand to repay the entire $160 million outstanding balance on our 2012 Term Loan A. At the end of the fourth quarter, the weighted average coupon of our outstanding debt is 3.9% and our weighted average maturity is approximately five years. During the quarter, we repurchased 482,000 shares of common stock for $50 million at an average price per share of $103.74. So far this quarter, we have repurchased 506,000 shares of common stock for $50 million at an average price per share of $98.65. Since the beginning of 2015, we have repurchased approximately 4.5 million shares of common stock for $500 million. This represents a reduction in shares outstanding of 3.5%. We currently have $650 million of authorization remaining under our stock repurchase program. Year-end shares outstanding were 125.7 million. We have no maturities in 2016. Our next maturity is $550 million of securitization notes due April 2017. We believe the prevailing rates to refinance these notes in the securitization market today would allow us to further reduce our weighted average interest rate. We feel good about our balance sheet strategy and our ability to refinance existing debt and access additional capital, if desired. While the broader credit markets have been volatile, our debt prices across our capital structure have reflected the stability in our underlying business. The majority of our debt trades at or above par. We intend to maintain our target leverage in the seven to seven and a half times range. Our primary capital allocation focus is portfolio growth that meets our investment return requirements, which could be augmented with share repurchases at prices that we believe are below intrinsic value, as we have done over the past several quarters. With that, I'll turn the call over to Jeff.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Thanks, Mark, and good evening, everyone. As you heard from Brendan earlier, we had a solid finish to 2015. Carriers were and are still very active with their networks, particularly with amendments to existing macro site infrastructure. Whether it was for AWS-1 or 700 megahertz deployments, refarming of spectrum for LTE or simply equipment additions to add capacity, the root cause of all this activity was the same, the demand from mobile data is outstripping network capabilities, even after all the benefits of spectral efficiency and improvements to technology. We believe this dynamic continues and as a result we remain very optimistic about the future. In the last several weeks, Cisco released its annual Global Mobile Data Traffic forecast, which is now for the period 2015 to 2020. For those of you that haven't read it, I recommend that you do. The projections for growth of mobile data traffic are startling. Mobile data traffic grew an estimated 74% in 2015 over 2014, just one year. Latin America grew 73% and North America grew 55%. Predictions for future growth are almost just as large. In the next five years, global mobile data traffic is expected to grow at a compound annual rate of 53%, with Latin America growing 50% and North America by 42%, again on a compound annual basis. That means in five years, Cisco projects mobile data traffic in the U.S. to be almost 6 times what it is today. What makes the Cisco projections very believable are the base drivers for growth in mobile data traffic: increased smart device penetration, increased 4G connections and explosive growth in mobile video. Those things are all happening today and can be easily seen all around us. So how is all the traffic going to be handled? While there will be continuous improvements in technology and equipment and some additional spectrum deployed in the next five years, those items alone are projected to come nowhere close to handling the increased traffic. More infrastructure will be required and we will participate in that growth. Last year we saw continued evidence of this as to the need for more infrastructure in general and the importance of macro sites in particular. In 2015, a year which was below average in terms of revenue added per tower in the U.S., we signed a number of amendments equal to an excess of one-third of our entire U.S. tower portfolio. In every one of those cases, our customer spent CapEx to add or replace equipment to the macro site, including all the related services work. The large percentage of our sites which received additional investment from our customers is proof positive to us of the importance of additional infrastructure as a primary solution in our customers' efforts to satisfy the growing demand for mobile data. Turning to operating results. Carrier activity in the U.S. was steady in the fourth quarter and remains steady so far this year. As we mentioned, activity was mostly amendments and driven by continued AWS-1 and 700 megahertz deployments, as well as by refarming 2G spectrum to LTE. We have yet to see any meaningful activity so far this year from AWS-3, WCS or 2.5 gigahertz deployments, although the first quarter tends to be the least active, as carrier budgets are just getting rolled out. We expect to see more total activity in the second half of the year and our guidance at the top half of the range assumes it. Our backlogs are growing, so we believe the assumption is valid, but the confirmation will only come in the form of a pick-up in signed contracts. Longer-term, a number of additional sources of revenue are taking shape. The start of the 600 megahertz auction is right around the quarter, with billions in anticipated investment. We have begun to have a number of interesting conversations with potential carrier partners at FirstNet, around our inventory and tower space available. News from the Mobile World Congress includes a number of new connected car agreements. We believe connected cars plus increasing activity from machine-to-machine and Internet of Things providers add to the future growth profile of infrastructure here domestically and we think bodes particularly well for our portfolio. We continue to execute very well. We expanded our industry-leading adjusted EBITDA margins by 80 points to 69.1% in the fourth quarter versus last year and our cash SG&A expenses remain very low as a percentage of cash revenue. We remain very focused on our margin performance as we view it as the best gauge of our operating performance. Internationally we had a very good fourth quarter, with constant currency gross same-tower cash revenue growth of 11%. Leasing activity occurred across all of our markets and with a variety of carriers. We built 78 new towers internationally. Demand for our international towers remains solid. Just under 70% of international leasing activity came from new leases on existing sites, with the balance coming from amendments. Our largest international market, Brazil, continues to perform well on a constant currency basis. It was our best same-tower gross organic growth market year-over-year, at over 12%. We continue to have operational success building new sites for our customers and securing new leases and amendments on our existing portfolio. While the current recession in Brazil certainly has some near-term impact on our customers there, we are still enjoying solid organic growth driven in part by escalators tied to Brazilian CPI. We feel very confident in the long-term potential for our Brazilian assets. Carrier networks in Brazil significantly lag those here in the U.S. 4G deployments are in the early stages. The deployment of 700 megahertz spectrum is still to come in Brazil. And the demographics of the population heavily support expanded wireless consumption. We are awaiting the release of President Rousseff's proposed telecom reforms, which, if they satisfactorily address wireline concession and other issues, could be the catalyst for wireless consolidation in the market. We believe that would be a positive for the market and could accelerate network development. As Mark mentioned earlier, we are maintaining our 7.0 times to 7.5 times net debt to adjusted EBITDA leverage target based on our expectations around organic growth, interest rates staying lower for longer and our excellent access to the capital markets. Our balance sheet and liquidity position remain in great shape. Moody's recently reaffirmed our corporate credit rating with a stable outlook. SBA remains a favored issuer in several debt markets and our debt trades very well in the secondary market. Over the next 12 months, we expect our liquidity will be over $1.5 billion counting the cash we generate. As always, capital allocation remains a primary area of focus. Our first preference for capital allocation has always been and remains to invest in quality assets that meet our return hurdles, both domestically and internationally, as we believe quality asset growth at the right price is the best way to increase long-term shareholder value. There are a lot of small to mid-sized tower acquisition opportunities in the U.S. We will continue to look for new markets internationally, with our preference still to focus on the Western Hemisphere. As we've shown, however, if we do not believe those opportunities are at the right price or terms, we are quite comfortable using our leverage capacity to buy back our own stock when we believe the share price is below intrinsic value. We allocated capital to both portfolio growth and stock repurchases in the fourth quarter and have done so again in the first quarter of 2016. For all of 2015 we invested $1.3 billion in a mix of CapEx, acquisitions and stock repurchases. We continue to believe many opportunities will be available for M&A growth in the future, certainly enough to consume all of our investment capacity, but it will remain our focus to be disciplined and continuously weigh portfolio growth against stock repurchases for allocating capital. We believe our continued thoughtful approach to capital allocation will create significant additional value for our shareholders for years to come. We remain very excited about the prospects for SBA. The business continues to be steady and predictable. Operational excellence will remain a priority. We expect to continue to see good leasing activity from our domestic and international customers, with drivers including continued LTE coverage and capacity builds, a new public safety network, the 600 megahertz auction, the start of the AWS-3 spectrum deployments and, most importantly, projections around the growth in mobile data traffic. We will continue to invest to grow our portfolio in the U.S. and internationally. We will also continue to repurchase our stock, where we believe those repurchases will produce better results for our shareholders long-term. Wireless growth shows no signs of slowing. More infrastructure will be required, and we're excited to be a key participant in that unfolding story. Gloria, we're now ready for questions.
Operator: You do have a question from Spencer Kurn with Administrative (sic) [New Street Research] (22:58). Please go ahead.
Spencer H. Kurn - New Street Research LLP (US): Hey, guys. It's Spencer Kurn from New Street. Thanks for taking the question. I was wondering if you could talk about your plan to monetize AWS-3 deployments. I'm not sure if you're having any discussions with carriers right now, but we're hearing some rumblings that some carriers plan to swap current AWS-3 radios for new radios that can accommodate both AWS-1 and AWS-3. These new radios may be lighter and, in certain cases, may not trigger amendments, from what we're hearing. I was just wondering if you could talk about how your contracts are structured and your plans for monetizing that deployment. Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. In all of our cases, Spencer, whenever there is an equipment change, there needs to be a discussion and potential negotiation over an increase in the rent. We have a slightly different understanding and view of what AWS-3 will look like. We think it's going to involve at least the same number of radio heads and potentially larger antennas than what is currently at play today. So, we actually expect that there will be a decent chunk of revenue generated on our towers and, I think, for the industry, as those deployments get going. They haven't really got going yet, but we do expect them to get started here in the near future.
Spencer H. Kurn - New Street Research LLP (US): Got it. Thanks. And one more, if I may, it looks like your international revenue had a big step-up sequentially. Are you seeing a greater level of activity than you originally expected or could you help explain what you're seeing on a constant currency basis? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. I don't know if it was a whole lot more than expected, but we did have a really good fourth quarter and are off to a really good start, particularly in our Latin American markets, which would be both Central America, Brazil and Ecuador. We've had some pretty darn good lease-up.
Spencer H. Kurn - New Street Research LLP (US): Awesome. Thank you.
Operator: Next, we'll go to the line of Matthew Niknam with Deutsche Bank. Please go ahead.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the question. Just two, if I could. One, on the acquisition pipeline, can you just comment on what you're seeing there both in terms of available assets and then valuations in the market? And wondering whether you're still confident in your ability to hit the 5% to 10% portfolio growth you've seen over the past couple of years. And then just a follow-up on Spencer's question on AWS-3 builds, what are your latest expectations in terms of timing when you expect carriers to actually start deploying those bands? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, I'll answer the second question first, which is sometime in the second half, Matthew, of this year. And I don't know whether that's going to be early in the second half or late in the second half. But I do expect to start seeing some activity then, just based on the cadence of the discussions that we're having. In terms of the M&A, in the U.S. markets, there's a lot of opportunities out there. Our biggest reason for not having a larger pipeline under contract is price, particularly when we can compare very easily the quality of those assets against our existing portfolio and see where our own stock trades. So we're being very selective. We're pursuing very high-quality assets. Not every asset that we're seeing is of the same quality and certainly doesn't demand the same price as the higher quality assets. So until prices begin to stabilize a little bit, and we're actually starting to see some evidence of that, I think you will continue to see a mix of the capital allocated by us to both M&A and stock repurchases. But, it's not a opportunity number issue. For us, it's purely a price issue. Next question?
Operator: Michael Rollins with Citi Research, your line is open.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking the questions. I was wondering if you could give us a revenue bridge for both the total company and domestic operations as you work through escalation, churn, the impact currency had, and then the impacts that acquisitions and internally-generated growth had on your operations. Thank you.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Mike, are you asking about a bridge from the previous year or previous quarter?
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thank you. I'm sorry, just the fourth quarter would be very helpful. If you want to give the year or two, that's great, but the fourth quarter would be great.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: As compared to the previous year?
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Yes. Year-over-year, similar to what your competitors provide.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. I mean, we can obviously offline go through a lot more detail with you, but our same tower organic growth rate year-over-year was 8%. So that's basically taking all of the recurring cash revenue, leasing revenue that we generated in the fourth quarter of 2014. That grew by 8% year-over-year, when you look at where we finished this quarter. Of that, domestically, we were closer to 7.5%. Internationally, we were more like 11%. A lot of that is driven from Brazil being higher. Brazil was north of 12%. And a lot of that growth in Brazil was driven materially by the escalators, which were close to 8%, on average, in terms of full year-over-full year. So when you look at domestic, the breakdown is usually about 3% to 3.5%. That's about what we had from escalators. And the balance is coming from organic growth. We did have about 1.5% from churn. So, our gross growth rate, again, domestically was 7.5%. Our net was 2.5%, 1.5% of normal churn and about 3.5% from iDen churn.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: And there'll still be a gap period in there that comes from acquisition.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yes. In terms of absolute dollars, we obviously add inorganic growth as well through acquisitions. I think it'd probably be easier for us to discuss some of the details offline, but there is also FX impacts obviously on the international, too.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And just then to bridge that now, as you look at the first quarter in the year, can you give us an update on how you're thinking about organic cash growth from the first quarter for the domestic business and what the year looks like?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. We're looking at next year, the full year, if you look at the fourth quarter of 2016 as compared to fourth quarter of 2015, it implies a gross organic growth rate of roughly 9%, similar to what we said last time. This is all on a constant currency basis. And on a on net basis, that's about 7.5%, because we expect about 1.5% churn.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And what's embedded in your 1Q guidance?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: In our first quarter guidance, we're expecting it will be fairly similar to the fourth quarter.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks very much.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yep.
Operator: We'll go to the line of Amir with Barclays. Please go ahead.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much. I wanted to touch a bit in terms of your outlook with respect to the year. On your commentary, you indicated that you expect to see more activity in the back half of the year, and that's sort of factored into the upper end of your guidance range. How should we think about the level of activity that you're considering in terms of the back half of the year, that's factored in? And perhaps, what gives you that confidence in terms of either the bookings levels that you folks are seeing or anything along those lines to sort of put that in terms of your guidance and expectations? Thanks a lot.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, we're seeing an increase in the backlog, Amir. And we're on the cusp of some additional projects that we think are ready to break loose that we've had some conversations with. But again, to be clear, while the backlogs are growing, we're going to need to continue to see some improvement in the actual signed revenue to get to the high-end of the guidance range. We think it's all there. As I say, the backlogs are growing. The conversations are all around additional business, but we're not going to claim victory over that until we actually have it signed up.
Amir Rozwadowski - Barclays Capital, Inc.: That's helpful. And then as you'd mentioned in some of the earlier questions and given the expectations for a potential activity pick-up in the back half of the year, how should we think about the state of the demand curve with some of these new spectrum builds, with some of this new activity sort of transitioning from the back-half of the year into the following year?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: I think the carryover will be strong, because all of what we've talked about will just be getting underway, particularly the AWS-3. And I think we're talking about multi-year deployments on these new spectrum bands, WCS. The WCS, I think it's been fairly well publicized that AT&T has sought some relief against some potential interference issues, which has actually kept that deployment down. That, hopefully, is on track, looks to be on track to get resolved here in the not too distant future. And then by saying, by mentioning 2.5 G work, basically of course that means we haven't really seen much of anything from Sprint yet. And that we don't necessarily need to see anything there for our guidance, but we do think over time that if they're going to fulfill what they've publically stated, that some activity is going to come from that. But so but this is...
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: This is multi-year work that we're discussing.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much for the incremental color.
Operator: David Barden with Bank of America, please go ahead.
David William Barden - Bank of America Merrill Lynch: Hey, guys. Thanks. So, Jeff, maybe you've touched on this just now to a degree. But I guess my question was with respect to the question marks around the backlog building and the trigger pulling on the signed revenue, what you think that that gap is. I guess it's no secret the whole market is sitting here struggling trying to figure out are capital dollars all going to small cells, is everything kind of evaporating in terms of the macro cell site demand picture. And this kind of waiting around is adding to that conversation, what the real reason is. Is it we're waiting for the FCC to approve this AT&T build? If you could kind of give us some color around that topic, it would be super helpful. And then the second thing was I think your comments about the FirstNet RFP were interesting. It's the first we've heard that something's actually going on. Could you actually share what it is? What are we thinking about here? Is it going to be D Block radios being deployed on behalf of the FirstNet guys? Is that what we're talking about? Or any color about what's really going on there would be helpful. Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, you asked a number of questions there, David. First on the macro sites, I would think or would hope that when people hear that we actually touched and amended and processed amendments equal to over 33% of our U.S. portfolio last year that the importance of the macro sites couldn't be clearer. In terms of the triggering, it's not any real mystery it takes time to process applications and amendments, so there is no stair function that has to occur there. It's just the normal course. Things are building. They should take three months to six months to work through the pipeline. And if at all it continues to go in that direction, it'll all turn out the way that we have assumed that it will. There's no particular thing that's holding things back. It's just the ordinary way that carriers work, particularly when they come out of the end of the year and just begin to start rolling out their full year budgets and plans, which is happening as we speak. Now, you asked one more question, which...
Mark C. DeRussy, CFA - Vice President, Finance: FirstNet.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Oh, FirstNet. Yeah, we've had a number of discussions very broadly, not getting to equipment, but just generally where do we have capacity, let's talk about what might happen if we come back to you with a FirstNet. And the reason for that is the proposal that has gone out by FirstNet to pick a partner, they're looking basically for network solutions. And the folks who respond to that are going to want to be able to include towers where they need to do so to put their best foot forward.
David William Barden - Bank of America Merrill Lynch: Got it. So this is basically a brand new network incrementally to everything we see in the demand picture today?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, not necessarily. I believe there will be equipment sharing – not equipment sharing as much as RAN sharing or Radisys sharing, much like we were prepared to do as an industry when LightSquared was on the table. And the reason that FirstNet has gone out with this RFP and seeking partners is because they don't want to build their own network. So it will not be a standalone network. It's certainly not looking that way at this time. But it is looking like they want to partner with one or more existing players, who as part of their proposal will offer up network architecture. And we've actually been approached as to how we might play in all that.
David William Barden - Bank of America Merrill Lynch: Good. All right. Thanks, guys.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yep.
Operator: Ric Prentiss with Raymond James, please go ahead.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Good evening, guys.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Hey, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hey. First, thanks for putting the numbers in the call close together and putting out the supplement. That's good to have that extra detail. Let's go to Brazil for a second, if we could. Jeff, you mentioned the telecom reform and landline concessions. Telecom Italia has talked a little bit about it. Telefônica Brasil talked a little bit. Can you share with us what your thoughts are as far as what might be happening down there and the timeline?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, I know there is a big effort underway by all of the carriers that are subject to the wireline concession to get relief from that because the universal service obligations are quite onerous. TIM is not subject to those. Oi is. So any kind of combination – and this is me speaking and not necessarily attributable to any of those folks, but is going to be hampered by the uncertainty around that wireline. And so I think that point has been made very clear by a number of people and that has gotten President Rousseff's ear. And hopefully that is something that gets cleared up or at least better cleared up when she does release these telecom reforms.
Ric H. Prentiss - Raymond James & Associates, Inc.: And any thought on when that timeline might be playing out?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: I thought I saw something that talked about the end of March, but I can't tell you that for certain.
Ric H. Prentiss - Raymond James & Associates, Inc.: But it feels like it's in the shorter term, rather than what's been imponderable for a quite a long period of time. Seems that it's getting addressed, possibly.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, yeah. This is the first time I think there has been some serious thinking and potentially proposals around this issue.
Ric H. Prentiss - Raymond James & Associates, Inc.: Sure. Some other questions on Brazil. How do you guys come up with your assumptions on FX that you build into the first quarter and the year? Obviously it's been really hard to peg what's going on on the Brazilian real, but as we look at it, it's been in the low 4s. It's been here in the high 3s. It's 3.95 today. What's your process to think through how to set the stage for what your guidance has?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, it is partially scientific and partially not, Ric. Last year, we took the tact of using the spot rate for all of our reports and our guidance, and that didn't work so well. We were chasing that all the way down all year long. So this time we've looked at some consensus, not necessarily the forward curve.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: No, it's not the forward curve. We've looked at what many of the economists from a variety of the banks that we use have projected. And most of the economists project further weakening to the exchange rate during 2016. So we basically used a forward assumption for the balance of the year that's in line with the median of the projected forward rates that were put out by several of those large banks. And our hope is that that will significantly reduce the magnitude of any future guidance revisions due to FX changes.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, we're trying to put ourself in a position where we are not chasing FX call to call.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: But having said that, Ric, one of the things that the implied further weakening during 2016 is substantially lower than what we've experienced over the last two years and thus the impact is anticipated to be much lower than we saw during those periods.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, I think that's an important point. I think folks should focus on the percentage of our revenue that now comes out of Brazil. It's below 10%. And while we are projecting a decline from today to the 4.20 we used in the full-year guidance. That is well below the mid-40s or high-40s that we saw Q4 2015 to 2014. So we're looking at a year, not only this year and then even more so beyond, where this should have less and less of an impact.
Ric H. Prentiss - Raymond James & Associates, Inc.: I appreciate you guys breaking out the Brazilian site lease versus the pass-throughs, because I guess I think I heard that Brazil was like 6.6% of the real leasing revenue, 9.5% if you include the pass-throughs, but pass-throughs obviously are netted numbers, is that the right way to be thinking about it?
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: That's correct. That's why we're breaking it out. So, on a net basis, if you just strip out pass-throughs from our entire business and look at what percentage of cash revenue Brazil represents, in that case, it's only 6.5%, so less and less of an impact.
Ric H. Prentiss - Raymond James & Associates, Inc.: And one last Brazil question. I apologize, but it's such a key topic for a lot of investors and concern. I think you mentioned 8% was what the escalator component was in the over 12% growth in fourth quarter.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: Yes.
Ric H. Prentiss - Raymond James & Associates, Inc.: What's the thought that you're going to see escalators contribute in Brazil and what you think Brazil's growth rate is in 2016?
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: Yeah. Our projections for full-year guidance would imply Brazil growing at about 13% on a same-tower basis, if you compared Q4 of 2016 to 2015. Of that, we would expect a little over 8% of that comes from escalators. Obviously today, when you look at the current CPI equivalent, IPCA, index down there, it's actually well above 10.5%, but given the timing of when our escalators takes place and the forward curve around inflationary rates in Brazil, which is what we've used for our assumptions, we expect that the blended impact to our fourth quarter results over the previous year would be about 8%.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. It'll have a bigger impact, Ric, how it turns out for 2017. The consensus is actually that the inflation rate comes down over the course of the year. Obviously, that isn't the direction that it has been heading, but even if it continued at the high level because of the timing, as Brendan said, you wouldn't necessarily have a big pickup this year, but it would be a much different base for 2017.
Ric H. Prentiss - Raymond James & Associates, Inc.: Yeah.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: The relative materiality of those couple percentage points, given what we talked about before, which is the 6.5% of the total leasing revenue that's subject to this, it's just not, frankly, that material. But if the inflationary rates stayed higher, there is a small opportunity for pickup. Unfortunately, that probably means that the FX rates are not performing in line with what we've assumed either, but we'll have to see.
Ric H. Prentiss - Raymond James & Associates, Inc.: Yeah. I appreciate having the tailwind. That certainly is much better than chasing our tails.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: Yeah. Definitely, we agree.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Gloria, are there any other questions?
Operator: Absolutely. You do have a question from the line of Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Are there any other questions? You guys usually go for an hour and a half. What do you expect? Come on.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: You're usually camped on that first queue. I was missing you.
Philip A. Cusick - JPMorgan Securities LLC: I know. I thought Ric was going to take all my questions. Two that I have left, any pick-up at this point in the pace of signed contracts and, if not, is that sort of standard for January and February?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: No. No, no pick-up from Q4 levels, but that's absolutely standard for this time. I mean, we know for a fact that at least two of the big four are still finalizing budgets.
Philip A. Cusick - JPMorgan Securities LLC: And that usually starts to pick up in sort of March into April?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yes.
Philip A. Cusick - JPMorgan Securities LLC: Okay. And then what drove better site development – well, better than what we were looking for, site development revenue? It seems to holding up better than expected, given the activity level that's going on.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. It was particularly helped – it's unfortunate to say, in a way, by the extreme amount of iDen churn that we had in the fourth quarter. What comes along with that is significant work around the removal of equipment at those sites. And so I hate to say a part of the reason that it was up was actually due to that. And so if you look at our guidance for our services business for next year, you'll see that it actually suggests a decline over this year, because items like that will not be repeating.
Philip A. Cusick - JPMorgan Securities LLC: Okay, good. Last thing, the buyback, a little bit lower, despite the stock being off; should we think of that being offset by the acquisition you made in the U.S. or how should we think about the buyback going forward?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. I think if you look at the combined CapEx that we spent since our last call, I think it's pretty healthy. I think, Phil, you were anticipating $150 million. We did $100 million, plus maybe some acquisitions that you weren't thinking about.
Philip A. Cusick - JPMorgan Securities LLC: Yeah.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: So, that ought to be, I guess, loosely the way people ought to think about it in terms of absolute dollars. There are a couple things around the stock repurchases. We're managing somewhat to leverage. We don't want to take leverage up too high, notwithstanding how good we believe the stock price to be. But we also run into blackout periods that don't allow us to be in the market all the time. But with earnings now here, we get to reset all those blackout windows and we get to take a forward look again.
Philip A. Cusick - JPMorgan Securities LLC: Good. All right. Thanks a lot, guys.
Operator: Simon Flannery with Morgan Stanley, please go ahead.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thanks very much. I think if I got it right, you said that your amendment activity was about eight to one versus new collocations, perhaps some perspective on you're likely to stay here or is that going to normalize more over the next few quarters? And then, we got a lot of 5G hype out of Mobile World Congress. But as you think about it, have you done much work thinking about what that might ultimately mean for your business, as looking at some of these microwave frequencies and the installations that might be needed on the macro towers? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. Clearly, the macros are going to be a key backbone in all that system. And we would expect, Simon, additional equipment comes out of it. We haven't seen any specs yet that would allow us to get more specific than that. The standards aren't approved yet. So, we really don't see what the equipment could look like yet. Obviously, they're talking at higher frequencies, which is going to need several different types of architecture. But, in all cases, we believe the macro site is kind of the base off which all that occurs.
Simon Flannery - Morgan Stanley & Co. LLC: And you have some microwave already for backhaul for some carriers and so forth, right?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: We do. We do.
Simon Flannery - Morgan Stanley & Co. LLC: Yeah.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: And, Simon, just on your first question about the eight to one. The eight to one is a representation of the number of agreements signed. So, the absolute number of agreements in terms of the revenue mix, the amendments contributed 62%. Those are just domestic numbers. 62% of the revenue's signed up. But over eight to one in terms of its comparison to actual number of agreements signed that were amendments versus leases.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. And we think that continues because there is a lot of refarming of 2G spectrum to LTE that's going on. AWS-3, when it does break, is going to, I think, certainly come in the form of heavy amendments; WCS, the same. 2.5 G, when Sprint does get going there, the first thing is going to be to provide that service to their existing macro site. I don't know if it'll be eight to one, Simon, but I do believe that it will continue to be predominantly amendments as we move through this year.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: You do have a question from Nick Del Deo. Please go ahead.
Nick Del Deo - MoffettNathanson: I had two regarding some internal initiatives that you had talked about in the past. So first in Brazil, you've had the aspiration of developing a services organization where you can develop a large number of your towers (52:18) each year. So I was wondering. Where does that stand? What sort of success have you had? What's the demand been like for new towers down there? And second, in the wake of selling ExteNet, I think you had talked about trying to develop some small cell development capabilities in-house. So, again, where does that stand? Are you at a point where you could actually start bidding for business or is it too soon for that?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. In Brazil, Nick, we are pretty well fully staffed up for our new build efforts now. We fell a little bit short of our goals last year. What did we build in Brazil last year, Brendan?
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: We built – don't have the exact number – 150 sites, approximately.
Mark C. DeRussy, CFA - Vice President, Finance: Yeah.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: We have the capabilities in place to double that and more, Nick. So the question is do we have the business? I mean, obviously, the rezoning takes time, things like that. But we are ready to go and capable of producing much larger numbers than that. And, in fact, our guidance of the towers that we expect to build this year does include a larger number in Brazil than what we built last year. So, the other question was on small cells. We are adding some folks, some experienced people from the industry. Our focus, though, is not really in the outdoor space. It is more of the indoor space. And it's focused on assets that we already have relationships with, either through ownership or management, where we tend to have the exclusive ability to manage the telecommunications activities around those assets. We actually have bid on a number of things. And we don't have anything material to talk about. I don't know that we'll have anything material to talk about this year, but we are making some good progress.
Nick Del Deo - MoffettNathanson: In terms of assets where you say you already have relationships, are you referring to, say, we have rooftop management agreements, stuff of that nature?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, where we have that. We actually have some agreements where we manage large portfolios of land for a variety of different owners, railroads, large box department stores. We actually have states where we manage all of their telecom infrastructure. So, all those are very good opportunities for us to go in on a negotiated exclusive basis and help them with whatever they'd like to do in that area. And that's where we're focused.
Nick Del Deo - MoffettNathanson: Okay. That's great. Thanks so much.
Operator: Brett Feldman with Goldman Sachs, your line is open.
Brett Feldman - Goldman Sachs & Co.: Thanks. You mentioned that a portion of the amendment activity is being driven by the migrations away from 2G networks. Could you just help provide a little color as to precisely how you're getting paid there? Is it simply contractual provisions that they're changing technology or repurposing spectrum? Or is there actually an augmentation of physical gear that is triggering the amendments?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: There's no contractual provision, Brett, that contemplated or was agreed to in advance that says, okay, if we change out 2G equipment for 4G, the following will happen. So it basically involves in every case a discussion and a negotiation. And we're getting a variety of results, meaning cases where there's an actual reduction in equipment, which isn't very often, we're not charging for that. We're not reducing rent, but we're not charging anything additional for that. And then where they're changing out where they actually end up with more remote radio heads or, more likely, different antennas which are bigger for LTE, then there's an amendment fee.
Brett Feldman - Goldman Sachs & Co.: Okay. And then second question, if you don't mind. A few weeks ago, everyone got really concerned about some misinformation about what Sprint might be doing with its network. And I think Sprint did a good job of clarifying the nature of its relationships with tower companies. But it seems to have stimulated a discussion around whether the conversations that you're having with all of your carrier partners could potentially be evolving. And I'm curious, as you speak to carriers about new frequency bands and things they're thinking about doing with their network over the coming years, are you finding that they're asking for anything different with regards to the nature of their leases and their leasing relationships relative to what you've typically seen in the past?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Not really. We've been at this a long time. And I think people would be mistaken if they think that carriers didn't negotiate hard throughout history on all this. And that really hasn't changed. Their needs are changing a little bit, so we're talking about different things. But in terms of any new way of dealing with each other, it's always a spirited negotiation and we both end up somewhere in the middle. And that hasn't changed. That's been the way it's gone ever since we got into this business.
Brett Feldman - Goldman Sachs & Co.: All right. Thanks for taking the questions.
Operator: Mike McCormack with Jefferies, your line is open.
Mike L. McCormack - Jefferies LLC: Yes, thanks. Jeff, maybe just a quick comment on how you see sort of the 5G ecosystem. I know it's early think about, but how the architecture of that works and whether or not that changes your thought process on more small cell outdoor environments.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: I have not seen enough yet, Mike, to really have developed a lot of good and clear thoughts on that. It's clearly going to involve some more points of presence, given the frequencies involved. But if it goes the way that existing small cells outdoor appear to be going, which is predominantly fiber and needing to become a fiber company to participate in all that, I don't know that that's going to change or cause us to change our thinking.
Mike L. McCormack - Jefferies LLC: Okay. Thanks.
Operator: Michael Bowen with Pacific Crest, please go ahead.
Michael Bowen - Pacific Crest Securities: Okay. Thanks for squeezing me in. Just two, if I may, guys. For the guidance I just wanted to make sure, have you changed any of your thoughts around the range for the amortization of capital contributions on the tower augmentation? And then number two, in your press release I can kind of guess at a high level what you're intending to do, but when you say intend to spend additional capital in 2016 on acquiring revenue-producing assets, can you perhaps give us a little bit more of a look underneath the covers there with regard to what you're thinking about? Because it seems to be new language and I'm just interested as to what you might be leaning toward, if you will, either geographically or different types of assets. Thanks.
Brendan T. Cavanagh - Chief Financial Officer & Executive Vice President: Michael, on your first question on the amortization of the augmentation reimbursements, we really haven't made any changes since our assumptions a few months ago as to what we'll see in 2016.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah, and on the second question, that is actually not new language. That's been in there for years I believe. And basically the purpose of the language is to reinforce our statements that we intend to stay capitalized within our target leverage range. As we grow throughout the year, we stay in that leverage range, additional investment capacity is created and that we would look to spend that on portfolio growth, which has been and continues to be our first priority.
Michael Bowen - Pacific Crest Securities: Okay. Thanks.
Operator: We'll go to the line of Jonathan Atkin with RBC. Please go ahead.
Jonathan Atkin - RBC Capital Markets LLC: Yes, a couple of questions. You talked in detail of iDEN churn. And I wondered if you could also kind of flesh out what's happening with respect to WiMAX churn and other churn (1:01:15)? Secondly, for the U.S., you gave an interesting stat about 33% of sites touched last year. And is there a percentage you could share with respect to Brazil?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: We could, Jonathan. I don't have it handy because it's going to be much less. We are 70% leases there versus amendments. That's on a revenue basis. So it might actually be eight to one the opposite way outside of the United States, but we can get that for you if you'd like. And in terms of the other churn, it's almost entirely a combination of Clearwire, Leap and Metro, all of which we've expected, anticipated and there it is.
Jonathan Atkin - RBC Capital Markets LLC: And then lastly, on international M&A, just any thoughts on or predilections with respect to purchasing other developers versus doing a sale-leaseback deal carrier transaction as a way of expanding in, say, other parts of South America?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. We'll look at all opportunities. Developer towers are going to be of higher quality, we would hope. Carrier towers, much like in the United States, were not built for our industry, so they tend to need a little bit more work, but nothing that we haven't taken on in the past and done well with. So I do think, though, unlike in the United States, you're probably not going to see, at least in South America, as many smaller, independent acquisition opportunities. They're growing. And it's exciting to see how many new little tower developers are starting out, which ultimately will be opportunities to buy. But if you want to move the needle quickly, the way to do that is still going to be the carrier transaction.
Jonathan Atkin - RBC Capital Markets LLC: Great. Thank you very much.
Mark C. DeRussy, CFA - Vice President, Finance: Gloria, we're going to take one more question if there is one.
Operator: No, sir. There are no additional questions at this time.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Okay, great. Well, I want to thank everyone for joining us. Hopefully, the switch in the time, everyone appreciates we basically have done this out of the requests of our investors to tighten things up a little bit. And we look forward to speaking with you on our first quarter earnings release. Thank you.
Operator: And, ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.